Operator: Good day ladies and gentlemen and welcome to the GrafTech Second Quarter 2023 Earnings Conference Call and Webcast. At this time, all lines are in a listen only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday, August 4th, 2023. I would now like to turn the conference over to Mike Dillon. Please go ahead. 
Mike Dillon: Thank you. Good morning and welcome to GrafTech International's second quarter 2023 earnings call. On with me today are Marcel Kessler, Chief Executive Officer; Jeremy Halford, Chief Operating Officer; and Tim Flanagan, Chief Financial Officer. Marcel will begin with opening comments. Jeremy will then discuss safety, sales, and operational matters. Tim will review our quarterly results and other financial details. Marcel will close with comments on our outlook. We will then open the call to questions. Turning to our next slide. As a reminder, some of the matters discussed on this call may include forward-looking statements regarding among other things performance trends and strategies. These statements are based on current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from those indicated by forward-looking statements are shown here. We will also discuss certain non-GAAP financial measures and these slides include the relevant non-GAAP reconciliations. You can find these slides in the Investor Relations section of our website at www.graftech.com. A replay of the call will also be available on our website. I'll now turn the call over to Marcel.
Marcel Kessler: Good morning everyone. Thank you for joining GrafTech's second quarter earnings call. I will begin by highlighting four key points we will get discussed on our call today. First, our performance for the second quarter was consistent with our expectations and represented a sequential improvement in key metrics. This included quarter-over-quarter growth in sales volume and adjusted EBITDA as well as a sequential reduction in recognized costs on a per ton basis. Second, while we continue to see improvements in our business market indicators point towards further softness in steel production for the remainder of the year. With the resulting impact on the demand for graphite electrodes our expectations for the second half of 2023 are more tempered. However, we remain optimistic about 2024 recovering to improved levels of demand. Third, we continue to successfully execute our plans and strategies as we manage the business in response to the short-term challenges in the environment. And fourth, we remain optimistic about the long-term outlook for the business. We are taking actions that we believe will optimally position GrafTech to benefit from medium to longer-term industry tailwinds and deliver shareholder value. As Jeremy and Tim will provide more detail on our second quarter results, let me turn to the second topic the current business environment. Steel industry production remains constrained by global economic uncertainty. At the macro level, the global manufacturing PMI as reported in July has fallen to a six-month low and business and consumer confidence continues to be subdued. This contributes to steel industry output remaining below prior year levels with most regions showing production declines. This in turn has resulted in ongoing softness for near-term demand for our products. As a result, we have lowered our volume expectations for the second half of 2023. We now estimate our sales volume for the full year of 2023 will be in the range of 95,000 to 105,000 metric tons as compared to our previous estimate of 100,000 to 115,000 metric tons. Sales volume in the third quarter is expected to be broadly in line with sales volume for the second quarter of this year. We remain optimistic for a recovery to improve levels of electrode demand and sales volume in 2024. Based on the latest outlook from the World Steel Association global steel demand outside of China is projected to increase 4% in 2024. Year-over-year growth is expected in all key regions in which we participate. This includes a projected 6% year-over-year increase in European steel demand, a 2% increase in North America, and a 3% increase in the Middle East all of which should drive demand recovery for graphite electrodes. We recognize steel industry performance will be dependent on natural conditions. As such, we continue to focus on those things that are within our control to manage near-term market uncertainties. This includes proactively reducing our production volume to align with our near-term demand outlook. Closely managing our operating costs capital expenditures and working capital levels and making targeted investments to further improve our competitive positioning and support long-term growth. We continue to be pleased with the execution of our plans and the progress to advance our business. Let me briefly highlight several accomplishments since our last call, starting with our manufacturing operations. Our facility in Monterrey Mexico continues to run as expected. We continue to make significant progress on our risk mitigation strategies related to connecting pins and initiatives to increase our operational flexibility. As you will recall, early in the second quarter, we received the regulatory approval to restart production activities at our St. Marys facility in Pennsylvania. Following this milestone, we began production operations at the plant with activities expected to further ramp up in the coming months to increase our operational flexibility. Turning to the commercial front, during the second quarter, we announced the opening of a new sales office in Dubai increasing our presence in this important region. It supports our commercial strategy to operate with a global footprint as we expand our sales and technical service capabilities in key geographies. In addition, we entered into new multiyear electrode sales agreements with certain customers in North America and Europe. This reflects their confidence in GrafTech's ability to reliably deliver high-performing products over time. We also continue to make progress on the sustainability front. We joined the United Nations Global Compact and are excited to be participating in this important initiative alongside many other leading companies. We look forward to building upon our ESG strategies for the benefit of the environment, our business and our stakeholders as we help shape the better and more sustainable future. To that end, we encourage you to read our latest sustainability report that we recently made available on our website. Finally, during the second quarter we completed a $450 million senior secured notes offering. As Tim will discuss further, this offering and the related repayment of our term loan expenses our debt maturity profile by about four years. At the same time, we remain focused on maintaining sufficient liquidity to navigate the current environment via our working capital management and other initiatives. This supports our financial flexibility as we take actions that we believe will optimally position GrafTech to benefit from industry tailwinds and deliver shareholder value. I will spend a few moments on those tailwinds at the end of our prepared remarks. But first let me turn the call over to Jeremy. 
Jeremy Halford: Thank you, Marcel, and good morning, everyone. I'll start my comments with a brief update on our safety performance which is a core value at GrafTech. We are pleased that our year-to-date recordable incident rate for 2023 reflects substantial improvement from the prior year level and continues to place us among the top operators in the broader manufacturing industry. We will remain highly diligent in this area and seek to further improve this metric as we continue working toward our ultimate goal of zero injuries. Let me now turn to the next slide for an update on a few industry trends and additional context for our second quarter results and our outlook commentary. As Marcel indicated, the overall performance of the steel industry has remained somewhat constrained. During the second quarter, we saw further sequential improvement in certain market indicators. However, these metrics remain below year ago levels. Global steel production outside of China in the second quarter was approximately 208 million tons. This represented a 4% sequential improvement from the first quarter, but a 2% decline compared to the same period in the prior year. On a year-to-date basis, global steel production outside of China is down 4% through the second quarter with most reasons showing production decline. Turning to global capacity utilization outside of China. For the second quarter, the rate was flat on a sequential basis at 66%, but remained down by approximately 400 basis points compared to the second quarter of last year. And looking at other market indicators global steel pricing declined during the second quarter alongside steel demand with most market projections pointing to a continuation of subdued steel pricing and demand in the near term. On a regional basis in Europe, weak macro fundamentals have persisted including a soft construction market and high inflation rates that continue to impact on the confidence. Last week the European Steel Association issued their latest 2023 outlook noting that they expect a 3% decline in the used steel demand for the full year. This compares to the previous projection of a 1% decline. In the US, utilization rates picked up in the second quarter averaging 77%, although they may be low year ago levels. The sequential increase reflects continued strength in the US construction center. Overall, this significant global economic uncertainty continues to be an overhang on industry demand in the near term. However, in the medium and longer term, we remain bullish on steel industry fundamentals for the reasons we've previously indicated thereby supporting future graphite electrode demand. Turning to the next slide and GrafTech's second quarter performance. Our production volume was approximately 25,000 metric tons, representing a 43% year-over-year decline, but up nearly 60% on a sequential basis compared to the first quarter. This resulted in a combined capacity utilization rate for our three primary electrode facilities just below 50% for the second quarter compared to 31% in the first quarter. Subject to market conditions we expect utilization rates at our manufacturing facilities to increase in the second half of 2023 compared to first half levels. This reflects our continued focus on proactively managing production volume to align with our evolving demand outlook. Turning to sales. Our second quarter sales volume of approximately 26,000 metric tons was in line with the outlook we provided on the last call. While representing a 38% year-over-year decline, sales volume was up 56% on a sequential basis compared to the first quarter as we continue to recover from the impact of the Monterrey suspension. Shipments for the second quarter included 8,000 metric tons sold under our LTAs at a weighted average realized price of $9,000 per metric ton and nearly 18,000 metric tons of non-LTA sales at a weighted average realized price of approximately $5,600 per metric ton. As anticipated, the weighted average price for non-LTA sales was below the first quarter level. Net sales in the second quarter of 2023 decreased 49% compared to the second quarter of 2022. In addition to the lower sales volume, the ongoing shift in the mix of our business from LTA to non-LTA volume contributed to the year-over-year decline. As we proceed through the third quarter of 2023, the softness in the commercial environment that we have discussed has tempered our expectations. Specifically, the year-over-year decline in global steel production and the constrained steel utilization rates have limited the ability of our customers to significantly drive down their electrode inventory to typical levels. Further with the recently revised outlook from the European Steel Association and considering the typical seasonal slowdowns in Europe our near-term outlook for European electric demand is cautious. Given these dynamics, we anticipate our sales volume for the third quarter will be broadly in line with the second quarter. For the fourth quarter, we expect a sequential increase in sales volumes. Factoring all of this in on a full year basis as Marcel mentioned in his remarks, we estimate sales volume will be in the range of 95,000 to 105,000 metric tons for 2023. Let me now turn it over to Tim to cover the rest of our financial details. 
Tim Flanagan: Thanks, Jeremy. For the second quarter, we had a net loss of $8 million or $0.03 per share. Adjusted EBITDA was $26 million, a decrease from $158 million in the second quarter of 2022. The decline primarily reflected the lower sales volume, higher year-over-year costs on a per metric ton basis and the continued shift in the mix of our business towards non-LTA volumes. Adjusted EBITDA margin was 14% in the second quarter. Expanding on costs, as reflected in the reconciliation we provided in the earnings documents posted to our website cash COGS per metric ton excludes depreciation and amortization as well as cost of goods associated with byproduct sales and other noncash factors. Reflecting the full year impact of raw material energy and freight cost increases that occurred throughout 2022, we continue to sell higher-priced inventory during the second quarter of 2023. In addition, during the quarter our cash costs included approximately $10 million of fixed costs that otherwise would have been inventory if we are operating at normal production levels. Factoring all of this in for the second quarter of 2023 our cash COGS per metric ton were approximately $5,250 in line with our expectations. This represented a 7% sequential decrease compared to our high watermark of $5,600 in the first quarter of 2023. Looking ahead we continue to expect our cash COGS per metric ton in the second half of 2023 will be below the level recognized in the first half of the year, but will be above our previous expectations and I'll provide some more color on that here in a moment. As we've anticipated, we're starting to see relief from some of the inflationary pressures for certain key elements of our cost structure including decant oil, energy, coal tar pitch and freight. However, given where we're at in the fiscal year and with our current inventory levels this won't have a meaningful impact on our costs in the second half of 2023. Furthermore, the decline in our volume outlook has a two-pronged effect on the cash COGS per metric ton that will be recognized in the second half of this year. First with the lower sales volume this extends the time it takes to work through higher-priced inventory on our balance sheet. Secondly, with the corresponding decline in production volume, we will continue to recognize fixed costs that otherwise would be inventory that we are operating at normal production levels. As a result, we remain focused on managing our controllable costs and working to bring down our inventory levels. As we look ahead we continue to expect market pricing to decline further in the medium to longer term for certain key elements of our cost structure. For these reasons and with the anticipated increase in our capacity utilization and sales volume levels improve in 2024, we remain optimistic that our cost per metric ton will improve as we move beyond the current year. Now turning to cash flow. In the second quarter, we used $9 million of cash in operating activities, while adjusted free cash flow was essentially breakeven for the quarter. Our second quarter adjusted free cash flow included the benefit of approximately $24 million related to the settlement of interest rate swaps. The majority of this benefit was a result of terminating our interest rate swaps in connection with the repayment of our $434 million term loan balance at the end of the quarter which I'll speak more about in a moment. We anticipate that the second quarter would represent the low watermark for cash flow in 2023 and that continues to be our expectation. With our focus on managing our costs, capital expenditures and working capital levels, we continue to expect adjusted free cash flow to be positive for 2023. Moving to the next slide. During the second quarter, we completed a private offering of $450 million senior secured notes due December 2028, which coincides with the maturity of our existing $500 million senior secured notes. As the net proceeds of this offering were used to repay the term loan that was due in the first quarter of 2025. This effectively extended our debt maturity profile by nearly four years. Our gross debt to adjusted EBITDA ratio was 3.8 times as of June 30 compared to 1.7 times at the end of 2022, reflecting a decline in EBITDA for the first two quarters of 2023 on a year-over-year basis. On a net debt basis, we ended the quarter at a ratio of 3.3 times. As of June 30, our liquidity was $337 million, consisting of $132 million of cash and $205 million available under our revolving credit facility. This reflects the financial covenant that limits borrowing availability under our revolver in certain circumstances. However, we do not anticipate the need to borrow against our revolver in 2023. Further, we remain confident we have ample liquidity between the cash on hand and the borrowing availability to navigate the current market conditions and to continue to make targeted investments. For the full year, we'll continue to expect our capital expenditures will be in the range of $55 million to $60 million. I'll now turn it back to Marcel for some closing comments.
Marcel Kessler: Thank you, Tim. Let me reiterate that we remain confident in our ability to overcome near-term headwinds. We are successfully executing our plans to navigate the current environment and are encouraged by the progress our teams continue to make. We remain optimistic about the long-term outlook for our business and are taking actions that we believe will ultimately position GrafTech to benefit from sustainable industry tailwinds. Specifically, decarbonization efforts are driving the transition in steel with electric arc furnace steelmaking continuing to increase share of total steel production. In 2022, EAF accounted for approximately half of global steel production outside of China, which increased from 44% in 2015. With this trend of EAF share growth expected to continue, we anticipate demand for graphite electrodes to experience accelerating growth. We are currently tracking more than 200 announcements of planned EAF capacity additions by steel producers around the world. We estimate that these additions, along with production increases at existing EAF plants could result in incremental annual graphite electrode demand outside of China of 200,000 metric tons by 2030. This compares to global annual graphite electrode demand in 2022 outside of China of approximately 680,000 metric tons. On a regional basis, reflecting these industry announcements, this could translate into incremental graphite electrode demand as follows. 65,000 metric tons in Europe, 25,000 metric tons in North America and over 55,000 metric tons in the Middle East and Africa. In addition, the demand for petroleum needle coke, the key raw material used to produce graphite electrodes is also expected to accelerate. This is driven by its use to produce synthetic graphite for the anode portion of lithium ion batteries used in the rapidly growing electric vehicle market. Based on analyst estimates regarding the projected growth in electric vehicle sales and battery pack sizes, we estimate this could result in global needle coke demand for use in EV applications, increasing at the compound annual growth rate of over 20% through 2030. We use the growing demand for needle coke, as another positive long-term trend, as higher demand should result in elevated pricing. Given the high historical correlation between petroleum needle coke pricing and graphite electrode pricing, this trend should translate to higher market pricing for electrodes. We are well positioned to capitalize on these favorable industry tailwinds. We operate three of the highest capacity electrode manufacturing facilities in the world. With these facilities and the recent restart of St. Marys, we have strategic flexibility and a global footprint that gives us proximity to large EAF steelmaking regions. Further, through our Seadrift production facility, we remain the only large-scale graphite electrode producer that is substantially vertically integrated into petroleum needle coke. These sustainable competitive advantages are critical differentiators and foundational for our ability to serve our electrode customers. As we discussed on the last call, we also see long-term value creation opportunities beyond our existing electrode business. Specifically, we continue to study the ways in which we can participate in the anticipated growth of the EV battery market via two potential avenues. First, by leveraging our assets and technical know-how in the area of petroleum needle coke production given the expected demand growth for this key raw material. To that end, we have recently filed a permit application to significantly expand the production capacity at Seadrift. Second, by leveraging our graphitization resources and expertise to produce synthetic graphite material for battery anodes, while we have not yet made any firm commitments, we continue to test our needle coke and graphitization capabilities with several third parties and we are confident in our ability to meet the specifications and quality required for battery applications. We are excited about the possibility of participating in the growth of the EV battery market and look forward to sharing more as we can. In closing, we are effectively executing our plans to manage the current environment and I want to thank the entire GrafTech team for their continued efforts and commitment. Our long-term thesis remains intact. We are an industry-leading provider of a consumable product that is mission critical for the outgrowing electric arc furnace method of steelmaking. We possess a distinct set of capabilities and competitive advantages. Lastly, as a result of our disciplined capital allocation strategy, we have a strong balance sheet and ample liquidity to navigate the near term. For these reasons, I remain confident in our ability to deliver shareholder value. That concludes our prepared remarks. We will now open the call for questions.
Operator: Thank you. Ladies and gentlemen we will now begin the question-and-answer session. [Operator Instructions] The first question comes from Katja Jancic of BMO Capital Markets. Please go ahead.
Katja Jancic: Hi, thank you for taking my question. Maybe starting off with the spot pricing environment, I think you mentioned you expect spot prices to decline sequentially. Can you provide more color on the magnitude of the decline you're expecting?
Marcel Kessler: Yeah. Thank you for your question Katja. So as we have noted, the second quarter price for our non-LTA side is below our first quarter levels as was anticipated given the softer environment. And as Tim noted, I think there's some expectation that we may see further declines in the second half of the year. And I fully understand the desire for more clarity on pricing expectations further into 2023 and beyond. However, and I know I've said this before right? For competitive reasons we are going to refrain from providing our expectations on near-term pricing and the impact have limited visibility on pricing further out.
Katja Jancic: Understood. Maybe then on the cost side. Previously you expected the full year 2023 cost to be up about 20% year-over-year. I'm assuming that is moving higher now, or how should we think about it?
Tim Flanagan: Yeah, you're absolutely right. So we said that we expected a 17% to 20% increase. I think we guided to the high end of that range last quarter on a year-over-year basis. So, we'll end up somewhere north of that high end and -- but we fully expect to be still below what we averaged for the first half of the year. So first half of the year average is about $5,400 on a cash COGS basis. So we'll be somewhere above that 20% increase level and $5,400 to give you some parameters.
Katja Jancic: Perfect. Thank you so much.
Operator: Thank you. The next question comes from Arun Viswanathan of RBC Capital Markets. Please go ahead.
Arun Viswanathan: Thanks for taking my question. Just wanted to clarify a couple of things. So did you say that the Q3 sales volume would be similar to Q2?
Tim Flanagan: That's correct, Arun.
Arun Viswanathan: Okay, great. Thanks for that. So given that then you've done about $40 million of EBITDA in the first half. The second half, I guess you will have similar volume in Q3, but maybe slightly higher volume in Q4. Would you get some more fixed cost leverage on that? And so maybe your EBITDA is a little bit slightly better sequentially in Q3. There's some seasonal benefits as well and energy costs are a little bit lower. So how should we think about EBITDA maybe in Q3?
Tim Flanagan: Yeah. So as we think about starting with the fixed cost leverage and we anticipate we'll continue to have some fixed costs that are expensed directly to the P&L that otherwise would be inventoried in the third quarter. And this is again reflecting our intention of managing production levels in line with our overall commercial demand and our sales volume expectations. Kind of layering on top of that as well is, while we've released some inventory during the first half of the year, we anticipate releasing more inventory and using as much of what we have on hand to support the sales forecast in the back half of the year as well. So, we would expect the plant still not to be running at what we would consider normal or target levels. They'll be running harder than they have in the first half of the year as we commented, but we'll still have some fixed cost leverage challenges in the back half of the year as well.
Arun Viswanathan: Right. Thanks for that. And then, given that you're guiding to about that $95,000 to $105,000 of sales volumes, $100,000 of sales volume. That implies kind of a 50% utilization of your overall capacity. Is that right? And what is it going to take to really get back to a more normal environment? Is it, I guess, a number of factors including a better Europe, maybe some better industrial backdrop. I ask, because there's some conflicting factors out there. On the one hand, we have a pretty robust automotive market. There is some reshoring and infrastructure projects that seem to be supporting better steel utilization and again, you cited the mid-70 steel utilization rate for US 77. So why are electrode utilization rates so low, I guess is the overall question?
Tim Flanagan: Yes. So from a volume perspective, right, you asked what will it take to get back to more normalized volumes. And I think if you start by reflecting on 2023, there's really two factors impacting sales volume in 2023. First of all, you've got the Monterrey situation, which is kind of unique to us. And then you've got the overall kind of macro environment, that's weighing on kind of each of the regions of the world differently, right? You see a more robust US market still not performing at the same level it was a year ago but you're seeing some strong performance as you noted. And in automotive construction is continuing to be strong. And then I think there's a pretty optimistic outlook for infrastructure spending more broadly with the $2 billion plus of spending that's anticipated on that front. Conversely, I think if you look at macro environments in other regions of the world, I think it's a little bit more challenged. Jeremy mentioned, the European Steel Association's kind of revised outlook for the year being down to a 3% reduction in the current year versus what they previously thought was a 1% reduction. So, the combination of those things I think you really have to go region by region to understand the dynamics and how that's affecting electrode demand. I think as we have moved through Monterrey, largely this year with the strong operation of the plant thus far, continuing to work on the pin mitigation strategy and rebuilding our pin inventory and the fact that we fully expect to be engaged with our customers in the commercial negotiation process here in the second half of the year, we think we're taking that challenge off the table as we head into 2024. So, really the determination of where things and how things return to more normalized levels, is the macro environment of each of those regions and how you see recovery. I think again World Steel Association, the European Steel Association, are all predicting recoveries of different orders of magnitudes in each of the regions of the world, which gives us a pretty optimistic outlook to 2024 from an overall demand perspective for electrodes will be better than this year.
Arun Viswanathan: Okay. Thanks for that. But again just to understand this further. So, would you say that there have been some capacity additions and those are being absorbed? I'm just -- I'm still not following why the electrode -- I mean and putting aside Monterrey, your second half would still imply kind of a much lower utilization rate versus global steel utilization rates. So I'm just not following exactly why the electrode utilization rates are so low even in potentially 2024.
Tim Flanagan: Yes. I think the other factor that's going to weigh on that, on utilization rates is our inventory levels first and foremost and what we're carrying. And again, we're actively working down the inventory that we've built over the last 18 months. But then also, on the same time and we talked about this in the last call as well, customer inventories, right? So to the extent that the Monterrey situation caused people to pull forward some buying of electrodes that we're not seeing at these utilization rates work out yet, that's going to impact our utilization of our plants and the demand more broadly for graphite electrodes.
Arun Viswanathan: Okay. That's helpful. And just one last one then. As you look out into the future here, it appears that you've kind of gone through a pretty challenging time and you're coming out on the other side of it, Monterrey is back up and running, you're going through some commercial renegotiations. Would you kind of characterize that first half of 2023 as a potential bottom. And if so then you'll slowly see utilization and volumes improve and fixed cost leverage improve and then thus profitability also as you look out into 2024 and 2025. I mean, is that how you're looking at the world? And is that also allowing you to maybe redirect some of your attention to the EV markets and some of your initiatives there? 
Marcel Kessler: Yeah. So I think that's exactly how we see the situation how we see the situation evolving too. I think the first half is clearly the bottom as far as we can see today primarily driven by the fact that Monterrey has been the key driver of the low performance in the second half, right? And while there may be some lingering effect here for the second half of this year this will be completely worked through by 2024. Yes. So your assessment we completely agree with that. 
Arun Viswanathan: And what about the EV side. Could you elaborate on some of the initiatives there? And maybe provide an update on what you're working on?
Marcel Kessler: So as I mentioned in my prepared remarks, right? We have not made any firm commitments that we can speak to in terms of agreements with potential customers or significant investment to expand capacity. However, we continue to work with several third parties in two ways, right? One is we are testing the needle coke at Seadrift for use as battery anode material. And we are very confident that we can produce at Seadrift is very well suited for this application. And to that end, I also as per my prepared remarks we have just filed an application to expand the capacity of Seadrift here going forward. Secondly, we are working with third parties to use our graphitization assets that we currently exclusively use for electrode production to graphitize that material for battery materials. And in that case as well be very encouraged by the findings. Given that the functionality the capability and the quality of the power we can produce in our graphitization furnaces is very well suited for battery applications. So we are progressing on both fronts. And they're going to be very happy to share more about this as we can. 
Arun Viswanathan: Thanks.
Operator: Thank you. The next question comes from Bill Peterson of JPMorgan. Please go ahead.
Bill Peterson: Yeah. Hi. Good morning. Thanks for taking my question. The LTA volumes increased quarter-on-quarter with flat pricing but based on your annual volume and revenue guidance it would imply a step down in both in the back half of the year. Is that a fair assumption. And if so how should we think about the LTA and the cadence for the back half of the year? 
Tim Flanagan: Yeah. So we haven't changed the guidance for the full year. I think you're right when you kind of do the math the math would suggest a slightly lower price. And that's really going to be driven by mix of LTA customers, right? Not all contracts are the same. A lot of these contracts are those that have been extended over time and we worked with customers to blend and extend those contracts out. So I think we'll fall well within the ranges that we've provided on the LTA side. 
Bill Peterson: Okay. Thanks for that. And I guess, looking at capital allocation can you provide some additional color or rationale for the dividend suspension. I guess, I understand the improvement in use of cash. But assuming that we're at the bottom and free cash flow generation should improve into next year I'm trying to get a feel for the rationale. And maybe what would you need to see to have this reinstated as we look at? 
Marcel Kessler: Yeah. So, I think the suspension of the $0.01 per share dividend is consistent with our current capital allocation priorities, right? It's on the one hand focusing on maintaining sufficient liquidity to navigate the short-term headwinds, and also making targeted investments to position our business for long-term growth. Regarding the possibility of dividend being reinstated in the future, as you know dividend declarations are always at the discretion of the Board. So I will refrain from speculating at what point that might happen.
Bill Peterson: Okay. Thanks for the color, and I'll look forward to following the progress. Good luck.
Marcel Kessler: Thank you for your question.
Operator: Thank you. The next question comes from Curt Woodworth of Credit Suisse. Please go ahead.
Curt Woodworth: Yeah. Thanks. Good morning. With respect to the fixed cost under absorption and some of the stuff you mentioned in terms of the inventory, how should we think about what your cost structure should look like on a normalized basis? So if you were to assume more normalized utilization and kind of run some of the spot coal tar pricing decant oil pricing and can you give us a sense of what that could look like today? 
Tim Flanagan: Yes. I mean, so -- and thanks for the question, Curt. I think if you look back a couple of years historically we've been in that $3,600 a ton on a cash COGS basis. I think just given the fact that so much of our cost structure is market-driven. We should be able to drive back towards that as you see kind of normalization of the coal tar markets the decant oil market. And certainly, we've seen improvement as I mentioned in our prepared remarks a number of those areas we're seeing some beneficial commodity price movements that are helping us and will continue to help us as we move into 2024. Other elements of the cost structure, in particular labor, inflation in those costs tend to be stickier so you won't work all of that out. So, while we'll -- the aspirational -- to get back to that $3,600 level we're likely not going to get there any time soon or without investment. So, we'll see a significant reduction in costs, as we head into next year as fixed costs get better. The leverage gets better, with the return of volume, we're seeing again the benefit on some of the variable stuff and we'll continue to work, diligently to manage our period or fixed costs, as we've done. So this year and continue to keep our plants as efficient and cost-effective as possible. So, we'll see good movement heading into next year, but we may not get all the way back to that $3,600 level. 
Curt Woodworth: Okay. And then, kind of consistent with Arun's question just looking at your sales volumes utilization. It does seem much more higher rate of decline versus what we're seeing in the global steel production data. So, I think one of the questions people have is with respect to Monterrey, and just all the gyrations in the industry and arguably there's probably more import pressure from China and India, and this type of market as well. Can you comment at all on your market share? Do you feel like you've lost share? Do you feel like your contract position or your relationships are generally still intact, in terms of thinking about 2024 recovery that you should benefit as the industry recycles higher? 
Marcel Kessler: Yes. So, a couple of thoughts. I don't think, we can comment directly on market shares. I don't think, we have enough transparency around that. In regards to the impact of Monterrey, and I think we've talked about that in some detail on the last two calls, right? During that suspension in late 2022, right? We lost the ability to negotiate volumes especially, for the first half of 2023, and maybe even to some extent in the second half, right? So, that was the worst possible time for that suspension. So that is really the key driver of the impact and underperformance and the disconnect between what you're highlighting here, the steel utilization rates versus the electro plant utilization rate. I think it's the indirect impact of Monterrey, the loss of that negotiation window during the most critical negotiation time, in late 2022. 
Curt Woodworth: Okay. Understood. And then just with expansion at Seadrift, I think in the past there's -- the CapEx for kind of a replication of that asset. I can't remember exactly but $600 million I think there is some potential to maybe do more subscale investment. But can you comment, on how that would actually work just given your capital structure, today? Is it the type of thing, where you would try to get a JV investment and then you would get a fee to operate the facility, or how would that look like? 
Marcel Kessler: So, we have commented in the past, right? That a replication of Seadrift, will be a very expensive on that, right? That's not what we're undertaking here. We are essentially filing a permit application for an expansion of the existing facility. And we believe that this is the most capital-efficient way, to add capacity in the Western world, right? So, as you know, we are one of the only two Western providers of needle coke. And our Seadrift facilities is, set up in such a way that with a relatively modest capital investment, we can get a significant increase in capacity. So to be a bit more specific, Seadrift currently has a nameplate capacity of 100,000 140,000 metric tons of needle coke. With the anticipated expansion, we would increase that by approximately 40%, which is a combination of what we call calcined and green needle coke. I don't want to go into a technical rabbit hole, but typically calcined needle coke is what we and others use for the manufacturing of graphite electrodes. And battery materials -- battery material manufacturing is often done, with green needle coke, but not in all cases. So, what the actual production increase will be, would depend on the blend of how much of that would actually be green needle coke versus calcined or how much of that production would go to battery materials versus electrodes. But it's important to point out that we are not talking about multi-hundred million reputation of the Seadrift asset here but an expansion of the existing facility with a relatively modest additional capital. 
Curt Woodworth: Okay. Thank you.
Operator: Thank you. The next question comes from Alex Hacking of Citi. Please go ahead.
Alex Hacking : Yes. Good morning. Could you maybe discuss where you think needle coke prices are in the market right now? I mean I understand you guys aren't really in the market buying. But if you have some sense that will be helpful. 
Tim Flanagan : Yes. Sure. It's been a rather volatile commodity for over the last few years. But right now we're seeing it in the range of about $1,800 for super premium needle coke maybe a couple of hundred dollars below that for the more normal premium grades. So somewhere in that range it's pretty low on the historical trends that we've seen. A year ago, we were looking at things approaching $3,000 a ton year before that it was down below $1500 a ton. And we've trended well for lately but anticipate some strengthening of that as the EV market picks up the slack from the office in the electric market. 
Alex Hacking : Okay. Thanks. That's helpful. And then I guess kind of circling around on a question that been asked a couple of times, but I'll maybe ask in a slightly different way. If you look at your implied utilization rate in the second half of the year, it's 50% to 60% I think as it was originally for Monterrey it was really going to be a first half issue and your ability to contract. I mean, do you think the entire electrode industry right now is running at 50% to 60% utilization rate? Like that seems a little low. It seems like your utilization rate is running lower than what some of the others are running at. 
Tim Flanagan : Yes, Alex, I would point to not going into specifics of our competitors in the market, but they've said publicly on their recent calls that in various regions are running at or below 50% capacity utilization as well. So I think the whole electrode industry as a whole is running at a fairly low utilization rate right now. 
Alex Hacking : Okay. That's helpful. Thanks. And then I guess just one more if I may. I don't want to ask too many questions. Could you maybe discuss the impact of tariffs on the U.S. market and then how you see that? Is that something that you see benefiting prospect? Thanks.
Marcel Kessler : Yes. So, both the U.S. market as well as the European Union do have tariffs in place against imports. In the case of the U.S., it's covering Chinese imports. In case of the European Union it's both Chinese, as well as Indian imports and there are various levels of tariffs depending on the size of the electrodes and the provider, but they are quite significant. And I think they have been quite effective in limiting the import volumes from these regions. So both are quite important for GrafTech. 
Alex Hacking : I mean have you seen -- I don't track the data unfortunately but have we seen a kind of a material decline in Chinese imports since the tariff was put in place?
Tim Flanagan : Yes. I think Chinese imports into the U.S. are relatively low or immaterial on an overall basis. I don't know what they look like prior to 2017 time frame when those tariffs were put in place. 
Marcel Kessler : Yes. But there is not much Chinese supply finding its way into the U.S. market as a result of these tariffs. And there really has -- there's no change in recent years on that. 
Alex Hacking : Okay. Sorry I was mistaken for some reason I thought there have been a change in the tariff structure. I'll discuss that with you offline. All right. Thanks for the question.
Marcel Kessler : Thanks.
Operator: Thank you. Our last question comes from Abe Landa of Bank of America. Please go ahead.
Abe Landa : Good morning. Thanks for taking the question. Just on -- I kind of want to maybe update on Monterrey and just maybe I know maybe not operating as efficiently as it could be given like the lower volumes but where you are right now kind of all the pushed all the noise that we saw in the fourth quarter of last year I just want to verify that, everything is finalized in terms of like over approvals there as well.
Jeremy Halford: Yeah. Thanks. So yes, the Monterrey site is running regular production in the same way that it was prior to the suspension. As always, we continue to operate in the required emission levels. In addition to focusing on compliance with the -- emission levels we're also significantly increasing the frequency of our interactions with the regulatory agencies. As well as our neighbors in the surrounding community where, we've been an economic pillar of that community for over 60 years. And so I'm happy to say plant is running the way that we need for it to and continue to comply with all, of the legislative requirement.
Abe Landa: And I guess, following up on some other people questions as well. It could be a little early just on more, longer-term LTA type of contracts. I know it's typically more fourth quarter-ish timeframe, but do you have any early indications of how those discussions are going would go? I imagine, others -- some of your customers got graphite electrodes from other different sources. Are there maybe early discussions of kind of returning back to -- just given that Monterrey is back up and running et cetera kind of recapturing some of that share?
Marcel Kessler: So as we have highlighted on this call as well on the previous call, I think we have entered into several what we call electrode service agreements which are multiyear agreements, typically of three to five years out. We have several customers in both the United States and in Europe. Now, they are quite different in their structure from the LTAs and obviously very different in terms of pricing, right? They are more closely tied to the current spot pricing. Now we are at a premium given the long-term nature of it. So that the structure is essentially the premium over current spot price and typically includes some inflation protections for us. Now, they are not yet material in terms of overall volume for 2023. We don't expect it will be material in 2024. But we do actually -- in light of the challenges we've had with Monterrey we take great comfort that our customers continue to be relying on us as a reliable supplier of high-quality electrode through these multiyear service agreements or ESAs as we call them.
Tim Flanagan: And I would just add to that as we look out to 2024, it's probably premature to start talking about specific volumes just given the fact that the bulk of those negotiations start here at the end of the third quarter and into the fourth quarter. But from our standpoint where we sit today the fact that as Jeremy commented, Monterrey is running well. We've rebuilt our pin stock inventory. We continue to execute on the plans at St. Marys to get that plant up and operational as well. We fully expect to be engaged in that process as we have been in past years absent the 2022 cycle. So we feel pretty good heading into that negotiation window.
Jeremy Halford: I think at the end of the day customers have and will continue to appreciate our value proposition right? We're the only company the only Tier 1 Company. And in fact one of the only electrode producers in the world that makes pin at multiple sites. We've got -- so we can provide a surety of supply now that nobody else can. We have industry-leading customer service both through the -- our technical service representatives as well as our architect product. And we're present in their regions. We have not only an operating but also a commercial presence in several regions. So we expect that to support our -- support our commercial efforts as we head into that negotiated season.
Abe Landa: And should we expect -- during the next call, should we expect more color around that and kind of like an early look into kind of how those negotiations are going and into 2024?
Tim Flanagan: Yeah. I think, we'll have a better sense at that time and it will be one quarter closer to 2024 and an understanding of the macro environment as well.
Abe Landa: Thank you.
Operator: Thank you. This concludes our question-and-answer session. I will now hand the call back over to Mr. Kessler, for closing remarks.
Marcel Kessler: Thank you, Operator. I would like to thank everyone on this call for your interest in GrafTech. And we look forward to speaking with you next quarter. Have a good weekend.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation. And ask that you please disconnect your lines.